Operator: Good morning, ladies and gentlemen and thank you for waiting. Welcome to Banco do Brasil's First Quarter 2021 Earnings Conference Call. This event is being conducted in Portuguese with simultaneous translation into English and is being recorded and broadcast live via webcast through Banco do Brasil's website at www.bb.com.br/ir where the presentation is also available. All participants will be in listen-only mode and right after the presentation, we will initiate the Q&A Session when further instruction will be provided. [Operator Instructions]  With us today are, Mr. Fausto Ribeiro, CEO, Mr. Ricardo Forni, CFO, Financial VP and IRO, and Mr. Carlos Renato Bonetti, Head of Investor Relations of Banco do Brasil, and Daniel Maria, Head of Investor Relations.  Mr. Fausto Ribeiro, please, you may proceed. 
Fausto Ribeiro: [Interpreted] Ladies and gentlemen, good morning. Good morning to those who are in the south and as for those in Europe, good afternoon. I am Fausto Ribeiro, I am the CEO for Banco do Brasil and it’s a great pleasure for me to be with you this morning. In fact, this is our first meeting and I hope this is the first of many.  And right from the start, I would like toacknowledge the work that you do and it’s very important that we take precise information to all of our stakeholders. I would also like to take this opportunity to thank our employees for the brilliant work they did this first quarter, which allowed us to reach record numbers - historical numbers considering all of the past history of the Bank.  Well, I have a set of slides before I give the floor to Ricardo Forni, our CFO. These are interesting slides even because they can give you some information about the main pillars of this management. So, let me start fairly briefly speaking about our earnings highlights.  In Slide 1, sorry Slide 2, here we have adjusted net income of BRL4.9 billion, which accounts for a growth of 44.7% when you compare the first quarter of 2020. This result was mainly boosted by lower ALL and growth in the financial margins.  I said that in our previous meeting, the year started with a rebound of the economy. However, the landscape for the next coming quarters still bring some uncertainties and that’s why we are optimistic, but at the same time, a bit morecautious.  In terms of the guidance, the existing guidance, we are keeping the current guidance. We also see the possibility of – by the end of the year, to be on the higher side.  Our loan portfolio was BRL 758.3 billion and this is growth of 4.5% when we compare to the same period of 2020 in March. Our ALL expanded view is BRL2.5 billion, which is a reduction of 54.2% when we compare to the first quarter of 2020.  In terms of the dynamics of revenues and expenses, NII grew 4% and our admin expenses were down by 0.4%.  So now, I would like to show you some more slides where I will talk about the main pillars of this management.  Now, moving to Slide 3, I think for those of you who are following us, we start with the pillars of our corporate strategy. So, what is my takeaway message? There is a very sound governance process that is very well consolidated at Banco do Brasil. This is a process that it has been forged through many years, and the main pillar lies in the design and the approval of a corporate strategy for Banco do Brasil. We conduct annual reviews, but it covers a period that goes from 2021 to 2025 and that takes into account all of the outlook, clients, the financial side processes and people. So what is the message I would like to convey to you today?  Well, the Bank has a corporate strategy that has been designed based on its corporate scope. And it’s important to say that our row as executives those of us who came on board more recently, our task is to execute this strategy. Any changes in our corporate strategy has to go through all of the strategic and governance committees of the Bank.  In fact, we are just continuing to pursue or to follow this existing process that will allow us to read some very interesting results in the near future.  Well, upon my arrival, I talk to the employees of Banco do Brasil not only I had to introduce myself, I introduced my family. I talked a little bit about my background and I also listed ten structuring initiatives and all of these initiatives are based on the pre-existing corporate strategy and I believe that these initiatives can help us expedite some changes within the Bank, which will allow us to reach a series of strategic objectives that have been set forth.  I am not going to mention each one of them, because you have them listed on the slide. But in the next three slides, I will show you, in three different groups how we - or what would be the main messages we wanted to convey to you today.  So, the first group or the first one is profitability. Here, the main message I want to get is that, is well I renew our commitment with our search for efficiency and also the fact that we wanted to present sustainable results. We already have a expense reduction plan in progress that anticipates a recurring savings of BRL3 billion a year, which by 2025 could reach BRL10 billion of accumulated savings. So, this is a commitment that has been renewed and we will pursue it.  In terms of looking for a profitability similar to our peers and at times even higher than our peers, we have to strengthen our most profitable business lines, expanding and monetizing the customer base. The expansion of the customer base is crucial. There is no other way we have to make progress in this regard.  We will also reinforce our protagonist in some lines and segments, where today we are and we have been market leaders.  And I am referring to agribusiness, we have to make advances in agribusiness. We have to also include some digital initiatives to the agribusiness, SMEs, individuals and foreign trade. These are some segments where we think we have to expand. We also need and we think it’s important to constantly analyze the possibilities of building strategic alliances and partnerships, because this can help us maximize our results.  So, we have to keep an eye on that all the time and see ways of engaging in other partnerships and this will help us to leverage better results.  And finally, we have to focus on our core business to maximize capital efficiency. Maybe behind that, we have the continuity of our divestment policy. So obviously, focusing in the non-core businesses or things that do not have great synergies with our business.  Now moving to next slide, Slide 5. Another group of actions which are equally important when compared to the previous one is that, I mean, if I want to leave a legacy to this company, what I would really like to do is to expedite digital transformation so that we can in fact be really digital. This is a message that I’ve been constantly talking about in the company, because it is important that we expedite this transformation. This is something that the market is calling for and it’s important that we are totally digital. We have been trailing this path for quite some time. But if we can accelerate the necessary transformation, this can certainly help us. And as part of this process of expediting the digital transformation, we listed a series of actions that will encourage our clients to look for alternatives to access the Bank in a more convenient way.  So we are trying to promote a digital inclusion. This is one of our commitment. Also we have to engage our own staff and our own employees that’s also very important that we have to promote a change in the internal culture, bringing about the necessary skills that will allow us to evolve quicker through this new culture. It’s important also to emphasize that we have to train and qualify our people so that they can acquire the skills that maybe they do not have yet, because certainly this can help us expedite the process.  While data intelligence, it’s important that we anticipate the needs of our clients, trying to focus on information and data so data can be transformed into good information. We have an information repository, which is very vast and we have to connect that with the Internet and other consumer means. We have to be able to use this data and turn them into valuable information to generate more business. In terms of business connection, open banking brings an amazing renew of opportunity that also reflects an innovation because with innovation we can look for other alternative sources of income to our business.  In addition to that, we will be able to analyze some strategic partnerships with start-up to expand our presence in other platforms where we are not yet present. But certainly, the way to reach this goal is to develop all of our APIs, because with that, we’ll be able to make good connections.  Now platform expansion, we want to – how to make processes. There is always room for further improvements and better efficiencies and this is one of the path that we will pursue. We also want to modernize our IT structure to be more competitive and ready to do what is important.  So, these are my main messages and the main points that I want you to focus. We want to expedite our digital transformation to be indeed, totally digital.  Now, moving to Slide number 6 . As important as the other previous slides, I call this part proximity. We have to be very close to our stakeholders. And I am saying that as we put in that, we’ll be close to our clients, so that they can make their own decisions in terms of what channel they want to use to communicate with us.  One bank for each client. If they want, they will have the bank in the palm of their hands. They will have all of the necessary channels to establish, a connection to talk to their account manager. In fact, it’s important that we promote an integrated management of the distribution network, a more omni-channel-based view to be able to offer that are integrated due to our clients.  Also it’s important to appropriate – to have the appropriate returns to our shareholders, we have to look for growing efficiencies and to be compatible with our peers. We want to compete on equal footing with all of our peers and often times we want to be ahead of the curve. We also want to maintain an adequate level of corporate governance and as I mentioned before, this is something that has been part of the Bank's strategy for quite some times and we are a reference market even in Brasil, with so many public agencies, other organization that do their benchmark with us, therefore, I will have to say that we want to continue to keep a very high level of corporate governance. And we value people with while I am here I am talking about talent detection and retention, I said, previously that we have to have all the necessary skills to be able to anticipate trends, we will invest a lot in training and we will also make some investments to train and qualify our leading young employees.  And we also want to keep our commitment with sustainability. All of these actions will be important for us to fulfill our social role and at the same time, to be accountable to society in general and an example of that is that in May, May is the month that we call the sustainability month and we picked a theme, which is renewable energy.  During this month, we are offering our clients some unique credit lines with better rates for the acquisition of solar panels, et cetera, allowing them to invest in clean energy. With that, we will be paying our contribution to society and the planet.  My last slide and then I'll give the floor to Ricardo. This is the bank we want. This is our view for the future. So, if I could tell you what is the legacy I want to leave, what bank I want to have in the future, I want to have – I want to be the client's main bank, ensuring the best experience possible, that he can choose or she can choose the best way to communicate with the bank. We want to provide a unique experience, high quality, high availability and that the client can promote the Bank to other clients.  In terms of our presence, whether it’s a physical presence or digital, we want to be anytime anywhere. This is very important to us. And also, we want to be a solutions hub. We have a platform that provides products, services and benefits. So, somehow, we want to help our clients to have access to all of our products and services, so as to maximize return.  And in general, also sustainability is very important. Have to consolidate economic results, the environment preservation and development of society. Today, we are considered to be the bank with the most sustainable portfolio in Brazil. We received several awards. Our portfolio has more than BRL200 million in sustainable credits.  And more recently, we received an award this is first hand news. We just received an award from Global Finance as one of the most sustainable companies, one of the most companies in terms of processes and this is something that we will announce to everyone in the market.  So, with that, I will turn the floor over to our CFO Ricardo Forni, who will talk about the financial results. And after then, I will be available to answer all of your questions. Thank you very much. 
Ricardo Forni: [Interpreted] Thank you for Fausto and first of all good morning, everyone. My name is Ricardo Forni. I am VP for Financial Relations and Investor Relations. I would like to thank very much for joining us today and the opportunity to present to you the very robust results. This is an all-time record for the Bank.  So I'll start with Slide 9, where we talk about our adjusted net income that posted growth of 44.7% over the first quarter of 2020 and 32% over Q4 of 2020, reaching BRL4.9 billion in the quarter. This net income was mostly impacted by lower ALL in the period. The growth of our loan portfolio and a very rigorous control of expenses.  So our ROE went from 12.4% in the first quarter of last year to 15.1%, which is 158 basis points increase for ROE.  Moving to Slide 10, I would talk about NII. NII was at 4% vis-à-vis the first quarter 2020 and 2.8% in the quarter. This annual growth is mainly explained by the reduction in financial expenses. 26.7% reduction in commercial funding and minus 17.6% in institutional funding. When compared to the first quarter of 2020, the margin growth was influenced by higher loan financial expenses benefited by a more profitable mix of assets and lower funding costs.  Banco do Brasil continues to pursue higher revenues from loan operations for NII by increasing the loan portfolio and book it for a more profitable asset mix. NIM remains stable ending the period at 3.7% due to higher volume of net assets.  Moving to Slide 11, our loan portfolio. The expanded loan portfolio grew 4.5% year-on-year and 2.2% when compared to December 2020 totaling BRL758.3 billion with emphasis on the performance of the retail lines and agribusiness. The individuals portfolio was up 7.1% year-on-year and 2% when compared to December of last year with emphasis on payable loans.  Another line that presented significant growth was personal loans resulting from the strategy to change the mix to more profitable lines. The Agribusiness portfolio was 6.4% year-on-year and 3.6% in the quarter reaching a BRL198.5 billion and getting closer to the all-time record for Agribusiness.  SME segment was up 26.1% year-on-year influenced by disbursements in the Pronampe, working capital for the preservation of the companies and PESE lines. This occurred especially in the previous quarters and the evolution from December to March is lower of 1.4%. As for large companies and government, it was down by 1.2% year-on-year.  Moving to the next slide. On ESG, here, we talk about our sustainable business portfolio that posted BRL261.3 billion in the quarter considering the ten sustainability commitments that we announced in February and aiming at helping our clients to transition to more sustainable practices, we launched the BB Renewable Energy loan for individuals a 100% digital. Also, to BB DTVM, we offered two ESG funds with total net worth of BRL4.1 billion.  Furthermore, staring this year, we are mitigating all of our GHG emissions to ensure that all energy consumed in our facilities comes from a clean and renewable source with the acquisition of IRESEs. Also we have received several awards as you can see in this slide.  On this slide, this is the Agribusiness portfolio. As we said before growing 6.4% in the comparison year-on-year in March 2021, we reached a disbursement of BRL76.1 billion in the 2021 harvest plan with an increase of 14.7%, vis-à-vis the previous year.  I would like to draw your attention to our Broto platform. This is an end-to-end marketplace that brings maximum economic efficient to produce with the increase in the number of accesses and new users besides intensifying sales and financial growth so realized over BRL347 million since its inception on this platform.  We had 549 product machinery implements, the financial products materializing our vision about the future of the Bank and the hub for banking and non-banking solutions for our clients with convenience, practicality, and safety and security.  On Slide 14, we can see the forbearance portfolio flow. We can see that the flow of exits has already started in the forbearance portfolio with a good evolution in December 2020. 50% of operations were in race.  In March 2021 the percentage is 23% amounting to BRL26.3 billion, of which BRL14 billion are government operations that have most of them as treasury guarantee and therefore very low risks in – in the forbearance portfolio is under control closing market 0.86% due to the quality of our origination of this portfolio.  Here we have – here showing that net of the government portfolio. The portfolio would amount to BRL90 billion net of the government part of the portfolio. And then, it has a guarantee of the union. The risk profile is very low.  And we have this exercise here that you can see on Slide 15 and the total of BRL90 billion, BRL12.1 billion is still in grace and about BRL7.1 billion maturing at the second quarter of 2021 with a reduction of the total balance in active operation in the forbearance portfolio, we would have 1.09% for the calculation of delinquency and it’s very important to show you the breakdown removing the part of the government which is very low. So, expanded ALL,  On Slide 16, we show the expenses with provisions closing the period with BRL2.4 billion, a 54.2% reduction year-on-year, 50.8% quarter-on-quarter reduction.  Behavior explained mainly by the reduction of the credit with ALL, because the last – during the last year, the Bank made early provisions prudentially in order to buffer the future results of the pandemic on the loan portfolio and also we have here the credit recovery performance the highest in the series in the first quarter and the part of credit closed at 3%.  Delinquency, as you can see, delinquency is rigorously under control. We have the indicators of the quality of the portfolio over 90 past due with a slight increase quarter-on-quarter reaching 2.8 in March 2021 and between 15 and 90 days went from 1.5% in December to 1.9% in March. The coverage ratio closed the quarter at a very high level, 328.2%. And we have brought information about the new NPL formation, 0.66% and coverage of the new NPL reached 73.6%.  Fee income and administrative expenses on this slide. Fee income amounted to BRL6.9 billion in the quarter, a 2.7% reduction year-on-year impacted mainly by the reduction in the checking account lines. It is important to remember that Banco do Brasil has been seeking to diversify its revenues, intensifying use of analytics to have a better knowledge of the client and get preferences and serving them in a more convenient fashion.  Administrative expenses are under rigorous control with a reduction of 0.4% year-on-year amounting to BRL7.7 billion. Cost control widely reflect the efficiency measures announced after the layoff of employees by means of the voluntary severance plan and the savings generated by the compensation plan and the performance program among other aspects.  Cost to income ratio accumulated in 12 months closed at 36.9%. In relation to integration of service, we have on Slide 19 the profile of our service network, which was announced in the period in line to the strategy of optimizing our channel platform, seeking lighter efficiency – more efficiency and lighter structure, we see a reduction in the number of traditional branches a slight increase in digital with specialized branches.  The creation of 16 Leve offices and showing an important adjustment in the cost structure of the Bank, migration towards more efficient structure and without producing the coverage of services to the community and we also increased the specialization with the opening of Leve offices and specialized Agro branches that allows us to increase 1.4 million clients, totaling 7 million with specialized service 800 investment professionals are dedicated to investors.  And it is important to see that clients with specialized services tend to show higher satisfaction levels and the higher return to the institution.  I would like to talk about the number of employees, because we already see the impact of the reduction of 9173 ending March, 87,876. Most of those have enrolled in the plan have already left the company but they are still quite a number to go when they will be leaving the company.  And digital in practice. We have relevant figures about the acceleration of digital transformation of Banco do Brasil. We understand there is a migration trend toward digital is here to stay and we have been offering end-to-end solutions and innovative solutions to almost 21 million active clients in our digital channels and I would like to mention the coupons available in our app where the client has vouchers for discounts and promotion for reaching 14 million accesses in the first quarter of 2021, when we sold over 315,000 gift cards, we also have programs for the utilization of points with the relationship of the bank that can be used for products and services of the Bank and also possibility to pay accounts in a cash back program for clients according to what they choose.  In the first quarter of 2021, 360,000 clients paid account or bills with the use of this functionality in a total of BRL18 million, all this by means of the app of Bano do Brasil or Internet banking. Deals with clients by means of the app have been increasing significantly and digital platforms, Internet and mobile, accounted for 45% of disbursements in personal loans, 12% in payroll deducted loans, 42%, in our auto loans and 22% in mortgage.  And over 90% of the transactions through digital platform in March, and the Banco do Brasil app is the one with the best valuation among all the banks in the Apple Store and the Google Store, as well. All these figures show that we are on the right track for our vision of the Q2 positioning the Bank closer and closer to clients with innovative solutions bringing convenience with security.  In relation to capital, we see a robust evolution of capital. As you can see, 19.56 common equity indicator 12.89 and displays us as one of the banks with the highest capitalization in the Brazilian markets and we have very big capacity to grow.  In relation to projections, we bring our guidance here. We are maintaining our guidance. Adjusted net income, 16 to 19. The result of the first quarter was BRL4.9 billion. Net interest income, 2.6% to 6.5%, we reached 4%. Loan portfolio from 8% to 12%, we were slightly below in the first quarter with 5.8%.  Retail businesses from 9 to 13, we’ve reached 11.6. Wholesale, a reduction of 7.3% and afterwards we can go into that in detail, above 7 to 11, 11.2. Fee income, minus 1.5 to 1.5 positive. We had the reduction of 2.7%. Administrative expenses, minus 1.5 to plus 1.5, a reduction of 0.4% under rigorous control, expanded ALL. We had a provision of BRL2.5 billion.  Overall, in terms of our net income we see a skew of being at the higher area of the guidance. But we can go into details during the Q&A.  With that, I conclude my presentation and now we can go to the Q&A session. 
Operator: Thank you very much. [Operator Instructions] Our first question comes from Mario Pierry from Bank of America. You may proceed. 
Mario Pierry : Good morning everybody. It’s a great pleasure to be with you for the first time. And congratulations for the results obtained in the quarter. Fausto, I loved to hear you talk about the commitment on the part of the Bank in terms of keeping the strategy that was announced in mid-February, mainly in terms of improvement in your efficiency across the income ratio and the market loved that.  And you mentioned that you expected to bring the profitability of the Bank to the level of peers. So when you talk about profitability, are you referring to the ROE? Because, your peers have some 18% to 20% ROE. So, is this your goal and how long will it take for you to get there.  And the second question when you are talking about the focus on core business and investments, and the investment policy, I would like to – for you to expand on that asset management and acquiring our annual core business and what is your strategy for these two segments? Thank you very much. 
Fausto Ribeiro: Thank you, Mario. It’s a great pleasure to talk to you. Okay. I will start with the last one about the core business and then we will come to the ROE. As far as I understand, you are asking about our DTVM, our brokerage house.  And this is our core business, as it is for any other company or any other bank and we know that this area is going through many changes and we have already made some notices to the markets and mainly because of some news published in newspapers.  And we have been studying this. What are the alternatives so that we may drive the business and maximize return to our shareholders. And one of the initiatives is to find strategic partners that might work with us and that might help us maximize our returns.  Nevertheless, what I can tell you is the following: we still have no definition or a mature definition about that and that we could announce you right now. But we continue to study this and are evaluating this. Evaluating the best way to drive our business and to expand our operations in the assets area.  With relation to Cielo, you talked about acquiring and Cielo is also considered as a core business for us in terms of acquiring. Going through these assets, we have a strong partner and we are doing by means of corporate governance with Cielo. So that our company may transform digitally so that – so that we may change our business model in order to bring more results, more positive results for both companies. So, it is also core, Cielo’s core, as far as we are concerned.  Regarding the return expectations, the mission that I will see from the Ministry of Economy and the President were to leave the Bank seeking profitability at levels compared to our peers with a lot of efficiency and that we could give top service quality – top quality service to our population and our timeline for that, I cannot tell you anything about that. The ideal thing would be to get there as fast as possible.  And of course, we still have some home work to do and as I said before, during my presentation, we have many actions that have to be put in place in terms of our PPOP and the more we can accelerate the process and speed up the process, so that we may reach the level of our peers, that would be great. This could help us a lot. So, I hope, I have been able to answer your questions. 
Mario Pierry : Thank you very much and a very good luck to you in your new position. 
Operator: Our next question is from Jorg Friedemann from Citibank. 
Jorg Friedemann : Thank you very much for taking my question. Can you hear me well? 
Fausto Ribeiro: Yes. Very well. 
Jorg Friedemann : Thank you. Fausto, thank you for your message and I really endorse the words of my colleagues. On the analysis side, we see how Banco do Brasil is negotiating in view of all of these very strong operating results without a lot of interference.  So, if possible, I would like you to reconciliate some parts of your speech with what we see to the headlines and you said as an executive, the main message is to give continuity to what was there before. And we see that with very good eyes. But at the same time, there has been several key changes since you took over before VPs were changed. And maybe there are more changes to come.  In regards to governance, when the Chairman of the Board - the previous Chairman of the Board, he criticized the governance of the Bank. Now, there has been an important changes in the composition of the Board with Ieda there.  So, if you could convey a message to the market or maybe reinforcing in the message of how you see all of these changes whether the strategic gear will change, because with so many changes at the Board level and also on the executive level, I would like to just to put in context your legacy or what else could happen in terms of changes in the Bank? I mean, some things are changing even though, the backbone remains the same. So, let’s go with that and then, I will come with my second quarter. Thank you. 
Fausto Ribeiro: Jorg, if I understand your name correctly, okay, there are many comments, let me try to answer each one of them. First about changes in the VP positions. Well, my point of view is that as part of a natural succession process in a company, it’s very common and very usual to have some changes. So, I think that all of the changes that we are promoting are absolutely normal.  We are certainly looking for people in-house from career professionals inside Banco do Brasil with a lot of experience. All of the names have more than more than 25 years of experience in the Bank and they have – they are highly competent. And if I should give you a message, if I could probably give you some light of what is happening here is that we are looking for very committed professionals and with enormous capability to be in the positions where they are. And I think that it’s very normal for somebody new to make changes.  Now, in terms of what you said about the fact that some Board members complained when they left, what I’ve been saying is that, my approval process as the CEO of the Bank goes through two spheres. One, inside Banco do Brasil and one outside the Bank.  In terms of the outside, outside sphere, I am preferring to appointments from the Ministry of Economics, which is ratified by the President of the country to decrease. So, they, first of all, we have to send the names to our internal committee that has to evaluate a series of pre-requisites and they have to look at things related to legislation first.  I mean, the large 303 and all of the other issues that are part of our internal bylaws. And that is then ratified by other instances. So the path we have to follow is normal path. And that’s how I was appointed. The same thing happened to all of the previous CEOs of the Bank. All of them had to go through this process.  In terms of particular opinion of one or another Board member, I mean, I would rather not comment, because it’s their own opinion. They were talking about a process that exists in the Bank for a very long time. So, anything that can help the Bank improve is business. It’s something that should be analyzed. In terms of Ieda, I think, you mentioned her name, she is an excellent professional. We are constantly looking for diverse opinions in the Board member.  I mean, she comes from the Ministry of Treasury. She has extensive experience. She has been through different Boards. She has an interesting experience and therefore I believe that she will pay a very good contribution to Banco do Brasil when it comes to analyzing further deals.  So, I think I answered most part of your questions. Did I leave anything else, Jorg? 
Jorg Friedemann : No. Once again I think that we support the Bank. And I think that’s important that you have a very firm message when you reconciliate all the changes with this line of continuity. You explained it quite well. Thank you very much for your presentation and I wish you the best.  Now I have another question, but it’s more operational. I think you are doing an excellent job in terms of controlling expenses which is the core part and you said that yourselves and you said at the middle of the guidance it’s low.  But I also realized that non-core expenses, that part of non-core expenses is slightly above what we expected for the second consecutive quarter. You had more than BRL1.5 billion of expenses with legal fees and also in this quarter, we noticed BRL1 billion related to payroll.  So, we want to understand how that works and I also want to get some – to get your view on the legal risks and whether the guidance is still maintained? 
Fausto Ribeiro: Alright. I will turn the floor to our VP of Risk Management and he will help me with that answer. 
Carlos Bonetti: Okay. I will start by talking about the legal risk and then I’ll turn the floor to Forni to add more things to that answer. In terms of legal risk, the Bank has some strategies that improving the trajectory of these legal expenses and some factors impacted the volumes you saw for the first quarter. The first one has to do with the pandemic.  I mean, last year, we saw mainly in the second and third quarter some of the actions were stagnated because the courts were shutdown and that’s why all of the lawsuits were postponed to the fourth quarter of the year and this had an impact on the first quarter of 2021. And because of that, the volume of payments are provisioned to be expedited a bit.  Another important aspect is on strategy that we have adopted related to agreements. This is a changing paradigm for us, because the bank use to approach a strategy of appealing to the last or the last courts. And we are adopting a mix strategy whereby we are favoring agreements right on the initial stages.  This has a positive effect in the long run, because it reduces long-term expenses and things are more predictable, but there is another effect, which is the acceleration of expenses in the short run, meaning that the amount of payments is larger in a shorter period of time. This is what happened in this first quarter and this is a strategy that is now in place for the year.  It does not apply only to the first quarter. So, these two effects can explain the amounts posted in the first quarter. And this should also be noticed at different levels throughout the year. We are trying to project that expenses, as you said BRL4 billion, we are looking at a number closer to BRL6.5 billion rather than BRL4 billion when it comes to accelerating agreements and unleashing processes or lawsuits in the courts.  I would just like to add, Jorg, this is a hiccup for me this year. So, I would like to add something in relation to expenses or other operating expenses. Here, we had an impairment related to the business fronts. We try to identify a non-financial asset that shows signs of depreciation because of the value in use.  It could probably indicate some reductions in the recoverable value of the asset, which is the recent economic impact. There was an indication that there should be an impact about some payroll agreements considering the good accounting practices. That’s why we did the impairment and we did the accounting write-off.  So, now we recognize BRL459 million of losses because of that and we believe and just to clarify when it comes to the evaluation about the recurrence or non-recurrence of this evaluation. What we think is that in terms of the impairment, this is a - this recurring evaluation, this was a business event and we are – we hosted that and with that our future projection in regards to this conference really reflects what remains in our accounting books. 
Jorg Friedemann : Perfects. I just wanted to understand whether we could still see something more along the road. Is something more to come? 
Carlos Bonetti: We do not expect anything else down the road. We are running that evaluation. This is a current evaluation. We will do that in the next quarter but no future expectation about that. 
Operator: Our next question is from [Indiscernible] 
Unidentified Analyst: Good morning and thank you for the questions. You have already talked about the NPL 90. You had a higher volume than private bank. Do you have any other data that you could share with us? And in this quarter, the provisions were lower in the NPL formation. 
Operator: The interpreter apologizes that it sounded very, very bad. 
Fausto Ribeiro: Okay, Bonetti is going to answer, but I would like to make a forward remark about – over 75% of the operations extended are paying back normally. This is excellent as a sign regarding the forbearance portfolio and 90 days past due is under control and the level is better than we expected around 1% and Bonetti, please? 
Carlos Bonetti. : What are they talking about the forbearance portfolio. You remember that we closed the fourth quarter with BRL130 billion that I would like to remind you that this portfolio has some different characteristics, vis-à-vis our peers.  We have a relevant participation with the government in this portfolio 20% of this is credit with the government and this government guarantee, we have a major part 25% of that is payroll deducted loan and normally, government serves and that is to say public and because of that the quality is very good about 93% of the customers didn’t have any history of delays in the 12 previous months.  The months preceding the pandemic. So we got very good performance and the time of relationships is quite long, 17 years on average with these customers and we have a percentage of guarantee that is very big, 65% on average. And in the period of the fourth quarter, we said that it would get into amortization. As of the first quarter, that is to say the portfolio we had a reduction of 12.5% and the balance of it from 113 to 113.8.  These are very short part of what we already seen in terms of quality and expectation of repayment that is to say people paying us back again and this is being done with a very low delinquency ratio. If you take the short-term delinquency, we are talking about 2.5% and if you talk about 90 days past due, it is lower than 1%.  We have a percentage that is BRL136 million we will be returning in the second half but – second quarter, but of this 26, half of that is credit with government accounts. So the portfolio has a quality looking ahead, a quality that is very good and which leads us to believe that if everything remains the same in terms of the pace of the economy, the performance will be quite good in this portfolio. And that has a coverage of provisions that is quite high as well.  Talking about the level of provisions, what you saw in terms of flow in provision is reflecting the behavior of our portfolio very low delinquency, 1.95 and it is a fact that we expect an increase of delinquency up to the end of the year – by the end of the year, this is something that we are projecting.  Nevertheless, our projection at the base scenario - base case scenario is better than we estimated at the end of last year and because of that, we believe that this provision or the need for new provisions should follow a normal behavior and in line with the volume of disbursements that we will be making by the end of the year. We believe that disbursements will accelerate till this year and provisions will reflect the acceleration of these at least. But talking about the inventory of our portfolio, this is very much under control and the additional provision that we built last year supports the growth estimate for delinquency for this year. 
Daniel Maria: This is Daniel Maria. I would like to remind you the dynamics of the balance sheet as we have been talking to you. 2020 basically, as Boneti said the construction of provision that is to say, creating this buffer, because at a 48% coverage and for 2021, consuming – part of this coverage and reducing provisions and gradually increasing delinquency.  The fact that you have the coverage of the NPL as percentages that was in a 100%. The dynamics of this movement and it is in line as Boneti said, with what we expected in this regard. 
Unidentified Analyst: Very clear. Thank you. 
Operator: Pedro Leduc from Itaú BBA. 
Pedro Leduc: Good morning, everybody. Thank you very much for the presentation. Thank you for the questions. You made two opening remarks about the guidance. It seems that we are going towards the upper part of the guidance and I would like talk about the performance. Very low ALL, it seems to be the biggest contribution.  However, in the other items, NII it started well 4%, but when you look at it seems that it has part of funding and the revenue credit from clients, it doesn’t go – it didn’t go so much. And fee income, it seems to be at the upper part and that’s not really seasonality, I believe.  And lastly, about the legal risks, do you contemplate this when you talk about going to the upper part of the range? Once again, congratulations for the presentation. 
Fausto Ribeiro: Okay, Forni will star to talk about the components of the guidance and then I will come back. 
Ricardo Forni: Thank you, Pedro for your question. In relation to the guidance, the adjusted net income, this is the aggregator of all the other effects that are going on in the different variables. We started very well in the first quarter and if we continue with this line, as we expect the economic scenario, while we are bullish about the economic scenario, however, there are uncertainties evolve.  So, when we talk about the income, we believe that we are going to the upper part of the guidance and looking at I believe that later on, we might review the guidance when we are more sure about some important variables.  Regarding the MSD, we are in the middle of the guidance. We had an important evolution, I would say a change in the mix of the portfolio that has been happening and has been reflecting already. We are already capturing that over time and the strategy for the year is very much centered on seeking and being more competitive in line with attractive returns, changing our mix over time. And we have been doing this and we have been very successful in this strategy.  From the few point of the loan portfolio, we are slightly lower than the guidance and there are some components there in retail businesses. For instance, we are within the range. We have been working in line of payroll deducted very successfully, also with good operations and even exceeding the line of credit cards coming from non-account holders.  And it took time to scale, but we already see results and we have been seeking this route that together, with the strategy of lined with a high return. This becomes a very interesting component in the mix for the growth of the portfolio.  In the wholesale, for companies, these are specific cases. Well, let me see how. Daniel. Daniel , can you help me here please? 
Daniel Maria: This has a base effect. I would like to remind you that in the first quarter of last year, there was a higher demand. And this increased the base for the first quarter and then it started going down as we are comparing year-on-year we have this effect and also the migration toward the capital markets. I would like to remind you that some companies who enter the market with debt and equity.  And when we look at this range of companies with over BRL200 million in revenue. When I look at the large ones over BRL800 million they are dropping because of this dynamic in the capital market and this is being offset by the large middle, the company that have revenues up to BRL300 million. It’s a little bit capital markets and a little bit of the comparison base as well. Just continue here. 
Ricardo Forni: In relation to Agribusiness, we have been reaching the guidance of peers. We saw a performance that was lower in individual tariff. But we are optimistic because we are using analytics and many other tools and we are seeking to be more assertive in our sales by means using of data, and we still believe, that we will be reaching the guidance. And we are working very strongly in this direction and we believe that we will be able to get into the range.  In administrative expenses, we have been reaching this guidance by means of a rigorous efficiency program that is already bearing fruit and we know that there are some risks involved because of inflation. Inflation has been coming higher than estimated. And also payroll expenses and other contracts as well. They suffer this kind of impact.  So, our efficiency program - our efficiency program with reduction of expenses is what we will be give at the right condition to reach the guidance.  And in credit risk, based on everything that has already been said about delinquency, our net provision is much lower than estimated in the guidance and as Bonetti said, we have to see the evolution of the portfolio in the second and the third quarters, because many of our uncertainties will be solved and was to have – in terms of forbearance, we will be maturing to a certain extent in the second and the third quarters.  And we are very bullish about the origination of the portfolio that was built for the future. So, it is one indicator that has a lower bias. And as uncertainties disappear, we might have some change in the guidance should this be necessary and just to complete prediction, the legal risk is already inbuilt in this new estimate in the projections that we talked about our net income. 
Pedro Leduc: Okay. Thank you very much. A follow-up about the NII. 4% a year is quite satisfactory. The mix has been improving. As you mentioned yourselves, and if we break down what helped you were lower funding expenses. So, could you help us about the funding expenses over the year? Should they go up because there was a help from abroad the PDM that really brought this down. So, what about the next major of the year? 
Ricardo Forni: May I make a remark. The funding cost, I would like to remind you that we pay the perpetual at the end of the fourth quarter. The redemption was almost BRL1 billion and also in the first quarter, there was another subordinated loan about BRL800 million that was paid. So you reduce your expenses in foreign currency.  Together with that, what we foresee as a dynamic from now on, less contribution from the cost of funding, some contribution that could from some renegotiations, but less contribution compared to what we saw in 2020 and much more based on the increase in the number, the portfolio and the mix in the portfolio mix. 
Pedro Leduc: Thank you very much. 
Operator: Our next question is from Domingos Falavina from JP Morgan. You may proceed sir. 
Domingos Falavina: Thank you and good morning. Fausto, first of all, I would like to thank you – thank you for your remarks in the first quarter, because I know that you haven’t been for there a very long time. Well, sometimes we are at the mercy of the news and it’s hard for us to understand the promotion of some of the executives.  So, probably, better than trying to guess what the newspapers are trying to say, it’s better also to talk to the people involved in Itau. There was a new CEO. He worked with Candido Bracher in the investment bank.  He was then the CFO of the bank and then there is [Indiscernible] who also went to – he worked for other banks. I mean, at your name, it was a lot obvious name for us. I think, we also look at some people that are being potentially be promoted. And we didn’t see your name in that list. So, when they asked us about names, how can you explain why you are in this position. And my second question, I would say, it’s very good to see that the Bank is focusing on profitability and ROE and we see three leverages here, three pillars. Growth, volume, price cost and leverage. So, do you think that ROA will grow in the Bank? 
Fausto Ribeiro: So , let’s talk about Fausto. Fausto Ribeiro presided over a company from the conglomerate of Banco do Brasil, BB Consortium. It’s a company that in terms of results to the bank generates BRL707 billion in net income and also they pay an important contribution to our results. 33 years in Banco do Brasil I also worked in several areas of the bank, and I can mention the area of internal controls I spent 10 years in that position.  And I was kidding I said that sometimes this is my PhD in internal controls, because I led the Bank to comply with Sarbanes-Oxley Legislation. I was also chosen to represent the Bank in the transaction committee of the Patagonia Bank and in Argentina, you know that the Argentinean Central Bank takes some time to approve the acquisition or any acquisition and that’s why we had to have a separate team from the management of the Bank.  We were three people in charge. So, then I was called to be the director of the Bank in that geography and then I was in charge of doing large operations with larger corporate and when I returned to Brazil, I was in charge of the Postal Bank that serves low income clients. I also worked in the channels area of the Bank. But just to be clear, 33 years in the Bank. Vast experience with the Bank and the Bank has innumerous qualified professionals.  As you mentioned yourselves, many people leave Banco do Brasil and they occupy high positions in private companies like Santander, and in other companies in the market.  In terms of my arrival in this position, it started with the Ministry of Economics and the President of the country and then I have to be approved by other internal instances. In terms of what was mentioned at the time, people said of the press that I being going through the evaluation methodology. I did go through the Korn Ferry methodology, and I was on the ninth quadrant. If you understand about that methodology, that indicates the individual that is ready to take that position. So, in terms of Fausto, this is what I have to tell you. So, I feel that I am highly qualified. I have a longest experience with the Bank. And I believe that those that are promoted from inside they are much better prepared, because they are very familiar with the Bank works and they can also work to promote the acceleration of the Bank and all of the pillars that I mentioned during my presentation. And that will help us to reach our results much quicker. So, in this regard, I do respect any other dissenting opinion But I mean, this is what I have to say. And in terms of our next question I will give the floor our CFO.  Well, I am not saying that they were dissenting opinions this is just the version that I received. There was no dissenting opinion at all. 
Domingos Falavina: Yes, yes, I did understand. I am referring to journalists that those journalists that talked about this topic. 
Ricardo Forni: Hi Domingos this is Ricardo Forni the CFO of the Bank. Now, speaking about future growth of profitability and what are our leverages. Well, certainly, Banco do Brasil has always been and will always be leveraging loans. So, we are growing our loan portfolio. A loan portfolio with good origination and good quality.  But at the same time, we are also looking at the portfolio mix. This is a strategy that has been put forth for a long time. We are executing it well and also we are saying it’s not just one management that will execute that strategy. This has been a strategy that has been in place for quite some time. So, this search for a better portfolio mix is something that is already bearing results.  So, we will continue to pursue that strategy. This year, we see an important contribution towards reducing the cost of credit. So this – all the world that is being done in terms of risk management. Also, I believe that our prudential strategy of last year and especially in terms of the fact that we are being cautious in terms of origination is already bearing results. I think we can get good results in terms of credit – our credit portfolio.  Expenses, I mean, the Bank has always had a very rigorous control of expenses. The banking industry is faced with an additional challenge, because when the paradigm changes, the way you surge you, your customer changes as well and this brings about challenges for those that are controlling expenses. But I would say that our transformation pace and our efficiency is in line or I would even say when compared to our peers, we level the excellence in terms of our control of expenses and we intend to keep it that way.  And in terms of seeking for additional revenues to data and innovation, this is here to say that the strategy, an open strategy of the Bank is part of our strategic planning and we are just expediting and accelerating that, its organic growth and sustainability not only in regard to the generation of more results but this emphasis of ESG and all of these different aspects.  On the E aspects, I mean, science and sustainability we have a large program to expand the use of renewable energy with savings and this is quite important. In the physical world, a lot of work is being done in that regard. I think this is the emphasis we are giving and Fausto talked about that. But also he talked about that when he addressed the employees of the company and the results of the first quarter are already giving signs of these indicators. 
Domingos Falavina: Good luck to the new team.
Operator: Our next question from Carlos Gomez from HSBC. You may proceed sir. Mr. Carlos Gomez from HSBC you may proceed. 
Carlos Gomez: Yes. Good morning. I have two questions. First, we noticed an increase in net worth in the quarter from the pension funds and healthcare. Do you see the possibility of reducing risk or the volatility of Previ in the bank in the long run? And the second question, because I know that you were involved with Sarbanes-Oxley. Would you consider an ADR program? Or going to the New York Exchange in the future? 
Daniel Maria: This is Daniel Maria. Let me just answer the first part of your question about actuarial. We do have an actuarial effect which is mark-to-market, but this involves several effects in the case of the Previ’s benefit plan. You have to look at the curve, because you have to discount the liabilities and you have also to look at the behavior of assets.  The behavior of assets, here you have a concentration in some of the things that the funds how do they intend to reduce. By reducing it, then you minimize the impact, but now the effect of the curve, this is a fact. The way to manage that is by creating capital buffers as we have done it and this how we monitor that. 
Fausto Ribeiro: Daniel, would you like answer the second part of the question? 
Daniel Maria: Sure. In terms of ADRs, we have ADR level 1 and the decision to go to ADR level 2, I mean, we are monitoring the market, but we don’t have anything already defined in that regard. The important thing is to follow the best practices and if you look at the best practices adopted in the New York Exchange or Sarbox and all the other, this is what we do. 
Fausto Ribeiro: Perfect, I would just like to add to what Daniel said, so when the Bank made a decision back then to do some internal work to adjust to all of the required practices in a regulating environment as the one in the U.S. we hired a consulting company. They worked with us for 2.5 years back then. In an attempt to improve the governance standards of the Bank, and I was the leader of that project representing Banco do Brasil.  So, we had to do a lot of work to comply with the very high standards of governance. There are several meetings from strategic committees and there are many tasks in our internal controls and this is how in – carried out by the person in charge and we wanted to ensure the integrity of the figures that appear in our income statements.  The important thing is that the Bank has been adopting these practices since then and the decision to go to level 3 in the U.S. market is still a decision that depends on further analysis and the market momentum.  To-date, we don’t have anything to tell you at this moment about this subject. Carlos, I hope, we were able to answer your question. 
Carlos Gomez: Yes. Yes. You did. You did answered. In terms of ADR, it depends on the market, may be in the long run don’t you think it would be better for the bank to be in the same area where all the other Brazilian banks are? 
Fausto Ribeiro: This is a point. We have a very diversified base of investors. We have over 870,000 investors. So, in fact, the fact that we are not listed in the New York Exchange, I mean, this is not an impediment, because, we also have a very large base of foreign investors. But it’s important that we look at the best practices.  This is a process that we look at. We wanted to bring those best practices into the Bank and even though we're not listed, we comply with them – I mean, we follow them. 
Carlos Gomez: Okay. Thank you. 
Operator: Tito Labarta with Goldman Sachs. 
Tito Labarta: Yes, provisions are lower than the annual guidance. Does this mean that provisions go up over the year? Or are you going to decrease the guidance for provisions? And what will it mean to the Bank? Should it start here? 
Ricardo Forni: This is Ricardo Forni talking about the guidance for expenses. Or provisions and I think we have already talked about that. But provisions for this quarter were quite lower than the guidance. And looking ahead, when considering all the uncertainties that have already been mentioned in this call, we believe that in the second and the third quarters, mainly our retail customers and most of the forbearance portfolio will be paid in the second and the third quarter and then we will how much is risk and how much is increased selling, because the prudential provisions that we built were to be proactive regarding this momentum.  We are optimistic but we are conservative at the same time in terms of the future evaluation regarding our provisions. So the expectation of the guidance is in the lower part of the range regarding provisions. And regarding our shares, this is our expectation for the year, if we are to evolving some of the ROE and it will have good news about that we might in the future have this situation of provision will be effected by the fact that it will become more clear to us.  And we will higher results and lower provisions, but the guidance is maintained, because it's too early for us to review it, because of the recent uncertainty that we still have. So, we are still in a scenario of pandemic.  So, the higher risk has not disappeared yet. But we see the second half of the year with a higher activity than the first half of this year. So, I think, this is the basis for us to keep our guidance with a degree of optimism vis-à-vis higher ROE and lower provisions. 
Operator: Our Q&A session has come to an end and Mr. Fausto Ribeiro will come back and make the closing remarks. 
Fausto Ribeiro: Thank you very much for participating in our call. And I hope we have been able to answer objectively all your questions and without trying to avoid any questions and I hope we have been able to clarify all the things regarding the variations in our balance sheet and our Investor Relations team is available to you at all times should you still need some further clarifications. Thank you very much and have a good afternoon. 
Operator: Banco do Brasil's conference call has come to an end. We thank you for participating, and the materials used in this call is available at the Investor Relations portal on the Internet. Thank you very much for participating. And we wish you all a very good day. Thank you.